Operator: Good day and welcome to the e.l.f. Beauty’s First Quarter Fiscal 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Melinda Fried. Please go ahead.
Melinda Fried: Thank you for joining us today to discuss e.l.f. Beauty’s first quarter fiscal 2021 results. I’m Melinda Fried, Head of Corporate Communications for e.l.f. Beauty. As a reminder, this call contains forward-looking statements that are based on management’s expectations including those relating to the category trends and longer-term outlook and are subject to known and unknown risks and uncertainties, and therefore actual results may differ materially. Important factors that may cause actual results to differ are detailed in today’s press release and the company’s SEC filings. In addition, the company’s presentation today includes information presented on a non-GAAP basis. We refer you to today’s press release for a reconciliation of the differences between the non-GAAP presentation and the most directly comparable GAAP measures. Please note after the presentation, there is a separate dial-in for the Q&A session, also noted in the press release. With me from management today are Tarang Amin, Chairman and Chief Executive Officer; and Mandy Fields, Senior Vice President and Chief Financial Officer. Let me turn the webcast over to Tarang.
Tarang Amin: Thank you, Melinda, and good afternoon, everyone. I hope that you’re staying safe and well. Today, we’ll talk about our first quarter fiscal 2021 results, the creation of a new beauty lifestyle brand with Alicia Keys and the overall strategic framework for the company. I’m so proud of the e.l.f. team for delivering strong results in navigating major category headwinds during the COVID-19 pandemic. This is our sixth consecutive quarter of net sales growth with Q1 net sales of $65 million, up 8% versus year ago. We also expanded gross margin to 67%, up nearly 500 basis points versus last year and delivered adjusted EBITDA of $16 million, up 7% versus year ago. Of the top five color cosmetics brands in the U.S., we were the only one to grow share in the quarter with 5.5% of the market, up 100 basis points. We achieved all of this in a volatile category that was down double digits. We continued to excel on our multiple areas of competitive advantage by investing in our brand recharge and executing our five strategic imperatives. Our mission to make the best of beauty accessible to every eye, lip and face is more important than ever. We believe that our fundamental value equation and digital engagement, as well as our world-class team’s ability to move at e.l.f. speed positions as well to continue to gain market share. Today, we’re thrilled to announce our partnering with Alicia Keys to create a beauty lifestyle brand code named project Superwoman. I’ll describe shortly why we believe this brand will be so special and will enhance the overall strategic framework for our company. But first, let me provide a few highlights on the quarter. Our first strategic imperative is to drive brand demand. We have a number of initiatives that are driving greater brand relevance. We unleashed a Bowl Campaign last year to bring e.l.f. Superpowers to the forefront of the beauty conversation. The original superpowers that our consumers can’t get enough of are 100% vegan and cruelty-free and first-to-mass Holy Grill products that deliver premium quality at unbelievable prices with universal appeal. During these uncertain economic times, we’ve seen our value messaging has even greater consumer relevance. Our sales growth accelerated once government stimulus checks and supplemental unemployment benefits hit consumers wallets with new and existing consumers alike voting for e.l.f.’s exceptional value proposition. Search demand for e.l.f. outpace the category for the quarter with Google search is rising 1.5% compared to a decline of 9.5% for the category and double-digit losses for key competitors. e.l.f.’s press impression soared 333% for the quarter versus prior year, and we surpassed 5.5 million Instagram followers emphasizing our growing audience. We recently conducted a Nielsen marketing mix analysis and saw strong ROI results in the absolute and relative to key benchmarks, giving us further confidence that our marketing and digital initiatives are driving profitable sales. Our record breaking #eyeslipsface TikTok hashtag challenge, the most viral campaign in TikTok U.S. history continues to rise reaching over 6 billion views and over 4.5 million user generated videos to-date. This is an increase of over 1.5 billion views and 1.3 million videos in the past quarter highlighting the strength of our audience engagement on the platform. While continuing to leverage TikTok, we remain focused on our entire digital ecosystem. We’re expanding our existing footprint with deeper engagement on key platforms like YouTube, Snapchat, and Pinterest, while seeking and testing New Frontiers. An amazing example of New Frontiers is our unique brand collaboration with Chipotle, another brand favored by Gen Z. We worked together on a virtual prom collection that married their beloved food menu with our best-selling products. This limited edition bridal-inspired makeup collection sold out within four minutes on elfcosmetics.com with a 100% of these orders made by new consumers, the campaign at high engagement across all social channels with over 3 million TikTok views in over 350 million impressions across beauty, lifestyle, entertainment and business press. The strength of our value equation and brand building activities is attracting new consumers to the brand. During the quarter, over 50% of our retail purchases were from new consumers. This was even higher on elfcosmetics.com with over 65% of those purchasing being new consumers. Furthermore, we’re seeing that e.l.f.’s consumers are highly engaged with beauty and spending nearly 1.5 times more than non-health purchasers. Our second strategic imperative is a major step-up in digital. true to our digitally native roots, we continue to lead with a digital first strategy that is benefiting both elfcosmetics.com as well as our retailer.coms. During the quarter, we saw a major shift online with our digital channels, expanding to 17% of our total business, up from 11% in FY 2020. Q1 digital consumption grew triple digits versus year ago. elfcosmetics.com, the number one mass cosmetics e-commerce site powers our digital ecosystem. New consumers acquired in the quarter were up over a 100% year-over-year. We also experienced strong gains in traffic, orders, conversion and AOV. Our particular bright spot is our skincare business, which counted for nearly 25% of our sales on elfcosmetics.com in Q1 versus 18% last year. Importantly, the AOV with skincare consumers is approximately $10 higher than our cosmetics only consumers. Our Beauty Squad Loyalty Program grew to two million members up over 150% year-over-year and we believe it has even greater potentials, the driver of our overall business going forward. App downloads reached over 130,000 with augmented reality, continuing to drive conversion. We also launched the e.l.f. app in the UK. We continued to expand our digital footprint globally. Last month, we launched elfcosmetics.com/eu with a localized experience in Germany and the ability to ship to 10 other EU countries. We are pleased with acceleration our overall digital commerce and the growth we’re seeing on all retailer.coms, especially Amazon. Our third imperative of providing first-to-mass prestige-quality products also delivered strong results. We continued our pace of product launches during COVID-19 and found that consumers embraced our innovation. Our biggest strategic focus is skincare, where we continue to see strong results behind our new Cannabis Sativa and full spectrum CBD collections. These collections support our consumer’s desire for wellness and self-care at an incredible value. Our Supers Collection! powered by the trending super ingredient, niacinamide also seen surge and demand. e.l.f skincare consumption for the quarter was up 19% in track channels versus a category that was down 7%. More recently, track channel consumption was up over 30% and our elfcosmetics.com consumption was up over a 100%. We have additional launches slated for the balance of the fiscal year expected to help propel our skincare momentum. We reinforce our strength in primers, brushes and brow pencils maintaining our number one position in all three segments. We also continue to drive share gains in our market leading poreless putty primer, and Camo Concealer franchises with segment share increases of 15 points and 13 points respectively. The extension of our poreless putty franchise has been particularly successful with all three primers now ranking in the top 10 mass primers. We’re also pleased with the results of our purpose-driven product collaborations and limited time collections. We partnered with Jkissa for the second year in a row; this time featuring a 100% vegan, highly pigmented 18 piece eyeshadow palette. Jkissa reinforces our shared values of cruelty-free and how e.l.f. stands with every eye, lip, face and paw. The eye shadow pallet and brush sets sold out on our website in less than five days. We also introduced our Retro Paradise collection, a tropical inspired line of products that was created after last year’s Beauty Scape and event that gives rising beauty enthusiasts and opportunity to collaborate with e.l.f. and create products. The winning team, the GlamGals, and e.l.f. have been on an amazing journey together from the birth of the concept in the Bahamas to the shelves at target. This collection is proving right now, more than ever. We all need a passport to paradise. Our fourth strategic imperative is driving national retailer productivity in centers around Project Unicorn, our initiative to improve assortment presentation and navigation at shelf. We successfully executed phase three of Project Unicorn this past spring with better visual merchandising, particularly for our market leading primers and Camo Concealers. We shipped to target new Unicorn displays and flex towers for Retro Paradise. We continue to see the blurring of the physical and digital realms as excited consumers share their in-store experience with TikTok video creations, including this one, which quickly garnered 130,000 views. [Video Presentation] As pleased as we are with Unicorn execution, we continue to face category headwinds due to COVID-19. Ulta Beauty, and our main international retailers, brick-and-mortar stores were closed most of the quarter. Even at Target and Walmart, our top two customers, who remained open, we continue to see volatility and a definite slowdown with the recent surge in COVID-19. We’re also lapping the benefits of the price increase we took last July in response to the 25% tariffs. While we expect the category and our business to be challenged by the pandemic remain focused on our relative performance to key competition. We mentioned last quarter that given the strength of our productivity, innovation and consumer engagement, Walmart and Ulta Beauty plant expand e.l.f. space this fall in a subset of their doors. This expansion will allow us to our skincare assortment at both customers. For a perspective, skincare was 6% of our track channel consumption in FY 2020. In Q1, it grew to 9%. Skincare comprises a much higher percentage of our elfcosmetics.com business at nearly 25%. We believe is our retail footprint and skincare expands with more space, we have the opportunity to further drive our skincare business. Our fifth imperative is delivering cost savings to help fuel brand investments. I’m proud of our operations team. We were one of the first beauty companies to come out of COVID-19 restrictions in China, fully operational. All of our suppliers are back in business in the first week and we were running at full capacity after five weeks. Not only did our team maintain supply continuity, they continue to generate cost savings via lean manufacturing techniques that have contributed to our strong gross margin rates. We’ve also identified significant COGS savings on key well people products, which gives us the ability to invest in recharging the brand and sharpen retail pricing. Our new liquid fill manufacturing plant is continued to be delayed by COVID-19 as local restrictions have prevented us from doing engineering and installation work. The progress in our five strategic imperatives has been terrific, and we believe, we have further opportunity with each. We’re equally excited by our progress on strategic extensions. We strongly believe there’s an opportunity for significant value creation, leveraging the investments we’ve made in our team and infrastructure for other brands, both acquisitions and brands that we create. Our first strategic extension is a pioneering clean beauty brand W3LL PEOPLE. This acquisition is strategically important as consumers are becoming increasingly conscious of the ingredients in their products. Our thesis is that we can benefit from the 12-year history W3LL PEOPLE has as a pioneer in clean beauty with 40 EWG VERIFIED products and in turn, leverage the investments we’ve made in our team and infrastructure to scale the brand. Last earnings call, we’d already fully integrated this acquisition onto the e.l.f. platform. And now, we’re starting to realize synergies and make progress on brand growth initiatives. The most significant activity this quarter was conducting the strategic work for our W3LL PEOPLE recharge, similar to the work we did on e.l.f. last year, at the core of this recharge is our brand vision, because all people can be W3LL PEOPLE as we strive to make clean beauty accessible. We look forward to bringing this brand recharge to market over the coming months. Here is an early peak. [Video Presentation] Our team has also been working on the creation of a groundbreaking new brand that I’m thrilled to announce. [Video Presentation] Anticipated to launch in calendar 2021, Project Superwoman is a new beauty and lifestyle brand created with Alicia Keys, 15-time Grammy Award winning artist, producer, actress, and New York times bestselling author. Born of Alicia’s personal skincare journey and her passion for bringing light and positivity in the world, the brand vision is more than skin deep. With an inclusive point of view, an authentic voice, and a line of skin-loving, dermatologist-developed, cruelty-free products, Project Superwoman aims to bring new meaning to beauty by honoring ritual in our daily life and practicing intention in every action. make no mistake; this is not another celebrity beauty line, because Alicia is more than an icon. She’s an inspiration. in her song, lyrics, numerous interviews and editorials and in her candid, New York times bestselling new book, more myself, a journey, she has openly and honestly shared her skin struggles, her frustration with society’s unrealistic beauty ideals and her own journey to finding clarity, strength and a deeper knowledge of a real self. Now, through this endeavor, she aims to help others find that same place of peace and power within themselves. [Video Presentation] Our innovation team has already developed a robust multi-year multi-category product pipeline with Alicia keys and dr. Renee Snyder, co-Founder of W3LL People and board-certified dermatologist. We expect Project Superwoman to be available online and in retail outlets in calendar year 2021. we look forward to unveiling more in advance of our Q2 earnings call in November. We believe strategic extensions are key to our long-term growth as we evolve from a single brand to multibrand beauty company. Before I turn the call over to Mandy, let me provide a bit more perspective on the overall strategic framework of the company and our brands. e.l.f. Beauty is a parent company. the bowel disruptor with a kind heart. e.l.f. Beauty stands with every eye, lip, face, and paw. This deep commitment to inclusive accessible cruelty-free beauty has fueled the success of our namesake e.l.f. Cosmetics brands since 2004. We continue to expand our portfolio with strategic extensions that support our purpose and values. e.l.f. Cosmetics makes the best of beauty accessible to every eye, lip and face. We make high-quality prestige-inspired cosmetics and skincare products at an extraordinary value and are proud to be a 100% vegan and cruelty-free. W3LL People is a clean beauty pioneer raising the standard for high performance, plant powered cruelty-free cosmetics since 2008. founded on the principles of purity, artistry, and responsibility, we are committed to creating clean products that help people be well, look well and do well. Project superwoman is a beauty lifestyle brand, carefully crafted with Alicia keys, with an inclusive point of view and authentic voice and a line of skin-loving dermatologist developed cruelty-free products, Project superwoman will aim to bring new meaning to beauty by helping people to find peace and power within themselves. From a price tier standpoint, e.l.f. Cosmetics has extraordinary value in the mass segment while people is plant powered beauty in the mass prestige segment and Project Superwoman is lifestyle beauty and entry-level prestige. All three brands are accessible relative to their competitive set. Supporting all of these brands is our high performance team and company values to delight our consumers, do the right thing, work together to win and execute with speed and quality. In other matters, we’re pleased to have reached agreement with Marathon Partners in early July that allows us to remain focused on executing our strategic imperatives. We’re also happy to welcome Lori Keith as another strong independent board member. Lori brings to our board the perspective and an experienced portfolio manager and expertise in ESG. We’d also like to thank TPG for their six and a half year investment in the company and help building e.l.f. Beauty from $100 million revenue private company to a nearly $300 million public company. Consistent with its practice to responsibly return money to its investors, TPG is now completely exited its position in e.l.f. Beauty. TPG’s investment in e.l.f. was made from a growth fund raised in 2011, for which e.l.f. delivered strong returns. In summary, we’re moving at e.l.f. speed to grow, share, and position ourselves for an even brighter future. I believe that our digital strength and core value proposition will enable us to outpace a category in this uncertain economy. I’ll now turn the call over to Mandy to discuss the financials.
Mandy Fields: Thank you, Tarang, and thank you all for joining us this afternoon. Today, I’ll cover our Q1 financial results, provide perspective on what we’re seeing in the current operating environment and discuss how our strategic extensions connect to our long-term economic model. We are quite pleased with our Q1 results. We delivered net sales of $65 million, up 8% from year ago. This growth was mainly driven by e-commerce performance and track channel customers partially offset by Ulta and international store closures that persisted most of the quarter. our growth was further accelerated once we started to see stimulus impact to consumers’ wallets. Our performance in the last 12 weeks, ending 6/13 outpaced the large legacy brands in our space and our outperformance versus the category accelerated with market share up 100 basis points. Gross margin of 67% was up nearly 500 basis points compared to prior year. elfcosmetics.com was the primary driver behind our expanded gross margin. With the consumer shifting online, our site represented more of our sales mix versus a year ago, and total company gross margin benefited from that mix shift. Given the acceleration in sales momentum, we saw in the elfcosmetics.com, we were also able to be less promotional and drive stronger gross margin overall on our site. the benefit of e-commerce margin accretive mix, FX and price increases lifted overall gross margin for the quarter. to the extent, consumers shift back into pre-COVID-19 shopping behavior and away from e-commerce. We expect the benefit we are seeing in gross margin, will roll back by approximately 200 basis points. on an adjusted basis, SG&A as a percentage of sales, was 51% compared to 47% last year, primarily driven by annualizing headcount related to building out our marketing, digital and innovation capabilities, increased operational costs related to higher e-commerce volume in the quarter and increased investment behind marketing and digital on a dollar basis. marketing and digital investment as a percentage of net sales was 11%. given the strong sales performance in the back half of the quarter, we ended up below our 12% to 14% target. We expect higher levels of marketing spend as a percentage of sales over the balance of the fiscal year as we target to stay within the 12% to 14% range on a full-year basis. Q1 adjusted EBITDA of $16 million, was up 7% versus prior year with margin at 24% of net sales. adjusted net income was $9 million or $0.17 per diluted share, compared to $7 million or $0.14 per diluted share a year ago. for three months ended June 30, we generated $12 million in cash flow from operations. We also reduced capital expenditures by $2 million versus prior year and repaid the $20 million we had outstanding on our revolving credit facility this quarter. We ended Q1 with $54 million in cash-on-hand, compared to a cash balance of $61 million a year ago. Liquidity remains strong with the combination of our cash balance and access to our revolving credit facility sitting at over $100 million. We expect our cash priorities to remain on fortifying the balance sheet during the COVID-19 pandemic, investing behind our five strategic imperatives and supporting strategic extensions to fuel long-term growth. From an outlook standpoint, our full-year fiscal 2021 guidance remained suspended. The performance we delivered in Q1 was strong, but we are cautious not to anchor near-term expectations on a quarter with multiple external variables in play. We expect the overall economic environment to remain quite volatile. We also expect consumer behavior to remain impacted by COVID-19 at least through the end of the calendar year, if not our full fiscal year. While we experienced double-digit growth in track to channel data in the back half of the quarter, we expect to see a leveling off as the first round of stimulus dollars drives up and as we cycled the price increase, we implemented last summer. Additionally, we are seeing a great deal of volatility in our recent sales data, especially as COVID-19 cases surge across the U.S. We expect this also to impact track channel results in the near-term. on the expense front, we continue to take steps to reduce, where we can while still investing in our long-term growth. As stated last quarter, we did not expect savings in Q1, but expected some progress in Q2. Given the improvement in sales since the start of Q1, increased operational costs associated with the sales shift toward elfcosmetics.com and our current plan to keep marketing and digital in the 12% to 14% range for the year, we do not expect to see material cost savings on a year-over-year basis. We expect to have stronger gross margin if the shift in e-commerce remains with net margins partially offset within SG&A. We will also have certain costs related to our strategic extensions that we expect to treat as adjustments to SG&A for the balance of the year. Examples include integration costs on W3LL People and development costs on Project Superwoman. We expect $5 million to $7 million of working capital and CapEx investment across these brands in fiscal 2021 as we prepare for retailer distribution. this aligns with our cash priorities, leveraging our existing cash to invest in long-term growth. Lastly, I cannot express how excited I am about Project Superwoman. adding this brand plus W3LL People to our portfolio reflects our deep commitment to inclusive, accessible, and cruelty-free beauty. From a financial standpoint, our interests are aligned with Alicia’s with a royalty and milestone-based fee structure that leverages both cash and e.l.f. Beauty equity. We believe this brand is both distinctive and complementary to our portfolio, and allows us to leverage the cost structure we have in place as we scale it up. While we expect the short-term to be quite volatile and uncertain, we continue to believe in our long-term economic model once the retail environment returns to normalcy. We believe that our digital strength and core value proposition will enable us to continue to outpace the category and position the e.l.f. brand for growth. And with the addition of W3LL People and Project Superwoman, we believe that the higher end of our long-term economic model can be achieved. With that, I’ll turn the presentation back to Tarang.
Tarang Amin: Thanks, Mandy. This is indeed an exciting time for e.l.f. Beauty. We’re taking market share and believe we’re well positioned to ride out the current storm. We continue to fuel our momentum on e.l.f. Cosmetics, as well as develop additional growth factors behind W3LL People and Project Superwoman. What gives me great confidence in a long-term potential and white space is a set of competitive advantages that we possess. We have the right team with an employee base at 73% female, 60% millennial and 46% diverse representing the consumers that we serve. We’re one of only nine public companies with the board of directors, composed of 67% women. We know our consumers and how to engage them with our number one mass e-commerce site and reach on key digital platforms. We know how to make products people want with a unique ability to launch Holy Grail first-to-mass products. We move at e.l.f. speed with the ability to bring new products to market in as few as 13 weeks. We have world-class operations providing us the best combination of cost, quality, and speed. We know how to go to market and grow through our strong relationships with our national retail partners. We have significant opportunities in both additional space and geographies. We know how to build brands as we move from a single brand company to a multibrand house. While these remain difficult times, we are optimistic in the long-term potential of this company. With that operator, you may open to the call to questions. For those who’d like to ask a question, please do so through a separate dial-in line noted on this screen. Those not asking questions can hear the question-and-answer session through the webcast. We’ll pause a few minutes for those seeking to ask questions to queue up in the dial-in line.
Operator: [Operator Instructions] And our first question will come from Erin Murphy with Piper Sandler. Please go ahead.
Erin Murphy: Great. Thanks. Good afternoon and congrats on a strong first quarter. My first question is really around the progression of trends that you guys saw in the quarter. Maybe, if you could speak to what you thought math from a replenishment perspective. And then it’s also specifically since that was closed for part of the quarter, what did you start to see is that channel or that retailer opened up mid-quarter?
Mandy Fields: Yes. So, hi Erin. how are you? So, in terms of what we saw within the quarter, it was quite a volatile quarter. So if you recall, when we were in April, our trends were down about 30% in track channels. And then towards the back half of the quarter, we really saw an acceleration and we believe that was primarily driven by a stimulus and the extra unemployment benefit that our consumers were receiving. I would say that from an Ulta standpoint, we saw a strong growth in e-commerce with Ulta. but to your point, their stores were closed most of the quarter, so that we did not have any sales growth there for Q1.
Erin Murphy: Okay. And then I guess my second question is really around Project Superwoman, given the pricing of this brand, I think Tarang, you talked about entry-level prestige. How are you thinking about the channel opportunity there? Will you be working with new retailers and then you’ve referenced it as kind of a lifestyle brand? I’m curious if you’re thinking about more wellness, if you – in addition to skin and cosmetics and some of the anchors that you do so well. thank you.
Tarang Amin: Hi, Erin. We’re thrilled about working with Alicia keys on a new lifestyle beauty brand. What we mean by lifestyle beauty brand is this brand is much more than just product alone. Alicia is someone of real substance, who has meaningful things to say on beauty, wellness, inclusivity, many of the core values that we stand for. So, in terms of your question on channel mix, as a digitally native brand ourselves, our first focus will be online. There’s a tremendous amount of content and advice that we can share that we will want to do through digital engagement first. We’ll be revealing more on the brand, including the brand name, line up and retail partnerships probably by the time of our November call.
Erin Murphy: Great. Thank you, both.
Mandy Fields: You’re welcome.
Operator: Our next question will come from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: Hey, good afternoon and first of all, congratulations on the partnership with Alicia. You cannot find it; I would say more escalation ambassador and I’ll send your first quarter results were impressive. So, I wanted to just understand and to have make sure that we – when this and correct me, if I’m making this comment on the margin. obviously, their puts and takes of the gross messaging would be less impact plus that to an impact of this quarter than before. but I was just thinking of your elevated – you’re anniversarying – first of all, in the gross margin, understand you’re anniversarying the price increase over skews to see how much that impacted the last year’s quarters, so that we can take that off. And also how we should be thinking and elevated SG&A, I think when I saw the numbers from my math, I think you’ve kind of really concrete and you’re anniversarying those investments now. So, it’s good to see, like – are you implying margins are going to be flattish, or you’re still going to see an improvement in margins on an EBITDA level. but that being said, last improvement and we saw in the prior quarter. Thank you.
Mandy Fields: Yes. Okay. Hi, Andrea. I will start with the top. So, your question on gross margin. So, our gross margin was we picked up a benefit this quarter, because of the shift in e-commerce. And so that benefit was probably about 200 basis points that we saw there in the quarter. now, to the extent that consumer shifts back to normal in-store shopping patterns, that gross margin benefit will roll the way on a sequential basis. In terms of pricing, Q2 is when we implemented the pricing last year. So that’s when we’ll start to cycle that impact and pricing overall was somewhere in the range of 200 basis points to 300 basis points of benefit for our gross margin standpoint. And then on SG&A, we are anniversarying some of the investments that we made in our infrastructure behind our marketing and innovation, and digital capabilities. So that is one of the drivers of why you see SG&A higher on the quarter, as well as on a dollar basis, incremental costs are incremental investment in marketing and digital. And then also, as I talked about the e-commerce shift, we got the benefit and gross margin, but there’s also incremental costs that come into the SG&A line. So, those you picked up in SG&A in this quarter and in terms of adjusted EBITDA and margins on the outlook, I mean, we have suspended guidance. So, I can’t really give you a ton of direction on that, in terms of expectations, but I can say that as we think about marketing investment, we only had 11% this quarter that certainly, we want to get up into that 12% to 14% range for the balance of the year.
Andrea Teixeira: That’s helpful. Thank you very much.
Operator: Our next question will come from Steph Wissink with Jefferies. Please go ahead.
Steph Wissink: Thank you. Good afternoon, everyone. Also, congratulations from us on a strong quarter.
Mandy Fields: Thank you.
Steph Wissink: Tarang, I want to start with you just a question on your comments on space games. You assigned those games to skincare. So, I’m curious if you can talk a little bit about your agenda on skin specifically at Walmart and also with those space games, and I think you’ve also referenced the partnership with Alicia. We’ll include some skincare, but maybe, just talk broadly about your agenda with skincare over the course of the next six and 12 months.
Tarang Amin: Sure. Hi, Steph. what I’d tell you is, skincare has been a strategic importance to us for the last couple years, and we continue to pour more into skincare, both from an innovation standpoint, as well as what we’ve seen in our momentum and growth trends. So, I talked in our prepared remarks, skincare as a total percentage of our business is 9%, but represents 25% of our elfcosmetics.com business. So, we see quite a bit of room to grow in skincare, particularly as we get larger retail footprints on skincare. the most developed customer we have right now on skincare is target, where we do have more space. So, as we pick up more space than other retailers, including Ulta Beauty and Walmart this fall, it gives us the opportunity to get more of our skincare items. And so we continue to see greater strength in skincare as we’re able to get a bigger footprint there. And our innovation on skincare is definitely resonating the Cannabis Sativa line, our recent CBD – full spectrum CBD line, as well as our Supers line, all delivered important results to the quarter and we have a great pipeline for the future. And then in terms of our new lifestyle beauty brand with Alicia keys. a lot of that was born really through Alicia’s personal journey and struggles in skincare, and what she has to say on overall beauty. And so that line is much more than just product, but certainly, will have a focus initially on skincare. What we’ve also developed a multi-category, multi-year pipeline on that, on that business. And the last thing I’ll tell you on skincare, as we continue to increase our capabilities in this area Dr. Renee Snyder, who’s one of the cofounders of W3LL People, and a board-certified dermatologist, has actually aided our innovation team in the development of some of the products for Alicia keys line, as well as what we’re doing on W3LL People.
Steph Wissink: Okay. And could I do one follow-up just on your – new to customer file? I think you mentioned 50% of your purchases were from new customers and 65% on elf.com, any unique cohort insights on those new customers that you’re finding new to file.
Tarang Amin: Yes. We’re really pleased to see the level of new consumers coming to our brand. The initial view that we have is a combination of consumers coming to us from legacy brands on the mass side, as well as some trade down from prestige. So, the specific stats are about 56% of consumers in retail, came to us, our new consumers and over 65% on elfcosmetics.com. We’ll get better profiles of that over time. It’s just one quarters worth of data. So, a lot of that will depend how many of them are we able to retain, but we’re really pleased by how many new consumers are coming into the franchise.
Steph Wissink: Thank you.
Operator: Our next question will come from Linda Weiser with D.A. Davidson. please go ahead.
Linda Weiser: Yes. Hi. I’m wondering if you could update us on your international business specifically what retailers you have distribution in Europe and the UK, and just talk about some of your aspirations there. And also, is there any long-term plan for penetrating the Chinese beauty market? Thanks.
Mandy Fields: Hi Linda. So, let me take that question on the international business, I would say for the quarter international, a similar story to what we saw here in the U.S. So, our international online business was very strong with the international retailers if you think about our presence in the UK at Boots and Superdrug were closed, those stores were closed most of the quarter as well. So, we saw growth overall in international, but it was driven by e-commerce. And so I would say international is definitely still an important piece of our business and tremendous white space remains in that market. And in terms of China, I’m going to pass it to Tarang to speak more about that.
Tarang Amin: Sure. We have high hopes for our business in China as well. Our business in China right now is 100% online, really through some of the key marketplaces like Tmall and JD. What we find in China e-commerce is really important as a brand value standpoint for us is having – being manufactured in country, our ability to go through a different regulatory scheme, where we are guaranteed our cruelty-free status. And so that’s for at least the foreseeable future till regulations change, the only aspirations we’ll have will be on e-commerce. but it happens to be the largest e-commerce market in the world. And I’d say we’re still very much in the early days in terms of our penetration there, but it’s a key area of focus.
Linda Weiser: Thank you.
Operator: Our next question will come from all of Oliver Chen with Cowen. Please go ahead.
Oliver Chen: congrats on the new brand. regarding Project Superwoman and Alicia keys, what are your thoughts on the long-term opportunity of this brand, relative to e.l.f. and how you’re thinking about the AUR as well as points of distribution more broadly, relative to your presence at e.l.f. I would also – thanks for the details on skincare as well as we model that going forward, are there implications For AUR and/or margin as that looks like a nice opportunity to continue to grow that mix and where might that mix go over time?
Tarang Amin: Sure. Hi, Oliver. So, we are thrilled to work with Alicia keys and one of the things that attracted us to Alicia was not only her longstanding vision and mission, as she thinks of beauty, much, much broader and greater depth than many others. But the fact that she’s not just a celebrity, she’s much more; she’s a person of real substance. Now, as a 15-time Grammy Award winner artist, producer now, even the best New York times bestselling author with her memoir more of myself. she has real substance. And so a big part of this work with her is really developing a long-term vision for the brand. So, as I mentioned earlier, we’ve already mapped out a multi-year product pipeline, as well as other things that we can do. And so we’re really excited. And then in terms of how that relates to e.l.f., I would say one of the really exciting things about the company right now is we continue to see a great deal of white space on e.l.f., whether it be on space, bringing the new consumers to our brand, our level of innovation, overall value equation. You add to that. W3LL People in a clean – clear pioneer and clean beauty, as well as this lifestyle beauty brand with Alicia keys. We think it creates a much stronger portfolio for us as a company, such that we have greater confidence once things return to normalcy of hitting the higher end of that long-term economic model that Mandy previously shared. And then in terms of mix, you’ve definitely heard right that consumers, who buy skincare on elfcosmetics.com have a $10 higher average order value than consumers only buy cosmetics. skincare while still an extraordinary value from an elf standpoint does have a higher mix from a price standpoint. So, as that happens over time, we would expect the AURs of the company to increase the skincare proportion of the overall business increases.
Oliver Chen: Okay. Lastly, thank you on innovation and ahead. regarding ingredients and you’re thinking about R&D specific to ingredients and proprietary technology, you can develop internally what’s on your mind or roadmap in terms of differentiating yourself from an ingredient innovation perspective.
Tarang Amin: Well, we’ve long been focused on ingredients from a standpoint of consumers are increasingly in conscious of the ingredients that are in their products. So, a while ago, we formulated away from parabens, phthalates, other ingredients, consumers did not want to see in their products. What you heard from this last quarter is a real focus on ingredients and wellness, particularly in our skincare products are Cannabis Sativa, full spectrum CBD lines, even our Supers Collection!, that has niacinamide in it, definitely have a very strong ingredient focus. I think bringing W3LL People into the company, it gives us even stronger capability in this area, plant powered, clean beauty brand that has not only one of the highest standards in clean beauty labels, but our ability to really take lessons from that apply it to not only e.l.f., but also what we do on the new lifestyle beauty brand. We create with Alicia keys, really see greater focus on the ingredients that are in our products and I feel great about our capabilities in that regard.
Oliver Chen: Thank you. Best regards.
Operator: Our next question will come from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, good afternoon guys.
Tarang Amin: Good afternoon.
Mandy Fields: Hi, Dara.
Dara Mohsenian: Can you discuss the opportunity for shelf space games at brick-and-mortar in the fall? And as we look out to calendar 2021 in color building on the earlier question on skincare, your share gains were obviously very strong this quarter, and a lot of your larger share competitors saw some pretty substantial decline. So, I’m just wondering if the recent performance drives more of a step change in shelf space opportunity going forward in color over the next year or so. And then secondly, also on the same subject, where their shelf space changes from this spring that were delayed as a result of COVID. Is it realistic to expect changes this fall? Are retailers still pretty apprehensive about making changes to the shelves in this covert environment? Thanks.
Tarang Amin: So Dara, let’s say, we have great potential when it comes to shelf space games in color. And in fact, the games that we’re going to pick up at Walmart and Ulta, include both color as well as skincare. So that our preferred sets are expanding the space we already have on e.l.f. and housing skincare within our e.l.f. set. That’s the approach that we’ve taken at target and has done very, really well with for us. At Walmart, we’ll follow a similar approach as they expand shelf space in a subset of their doors. Also beauty has decided to put skincare in their skincare sets and the additional space we’ll pick up there in the fall will be in their skincare set. So, we’ll see a combination in both places, both picking up more space on e.l.f. in our color cosmetic sets, where we can put more skincare items in as well as secondary location in the skincare isles and we feel good about that. in terms of our current plans, we’re still on track for the games that we had. All of our spring resets – actually I should back up all of our spring resets were executed a phase 3 of Project Unicorn, which had much greater focus on visual merchandising, particularly on our key hero items like Poreless Putty Primer and Camo Concealer. Those were executed well and we’re definitely seeing the benefits of that phase 3 unicorn execution or we are on track for our space games this fall at both Walmart and Ulta beauty, and are also hopeful for our future space games although we do not have confirmation on any of those. Yes. Those usually come a bit later and we’ll have to see how this, and in this environment, where retailers go. but we certainly have much more room when it comes to space games.
Dara Mohsenian: Okay. And as the performance in the last few months, just to push a bit more there has that sort of changed the conversations with retailers? Do you think that’s given you more incremental opportunity than you would have expected six months ago pre-COVID and then just a different question in terms of the new customers you picked up. Can you talk about how you are trying to hold on to that customer going forward and maybe, repeat rates you’ve seen early on from some of those new customers? that would also be helpful. Thanks.
Tarang Amin: Yes. Well, I would say on the space opportunity, I don’t believe it’s changed the conversation as well as – as much as continued to strengthen our case. This is the sixth consecutive quarter, where we’ve had net sales growth. Our productivity continues to increase with the key retailers we’re at. our innovation pipeline is bigger and better than most competitors that they see and our consumer profile, all of those really argue for more space. And so I think that conversation is well established. It really comes to the retailers’ own strategies and when are they able to make changes to their shelf sets. But the overall case for space I think has been well-made and is well-received by almost all of our retail customers. And then in terms of new customers that we’ve been picking up, I’d say our primary focus there, particularly, online is through our Beauty Squad Loyalty Program. As I mentioned, that loyalty program is now to 2 million members, up over 150% versus last year, and will be an increased area of focus for us as we continue to convert those new customers to loyal e.l.f. consumers and initiatives that we’ve previously talked about, such as our app and our ability to integrate in receipts scanning, where someone can get e.l.f. loyalty points regardless of where they buy their e.l.f. products, will help aid in that journey. So, our focus is converting more of those new consumers over to our loyalty program and really retaining them over time.
Dara Mohsenian: Great. Thanks.
Operator: Our next question will come from Bill Chappell of Truist Securities. Please go ahead.
Bill Chappell: Hey, thanks. Good afternoon.
Tarang Amin: Good afternoon.
Mandy Fields: Hi, Bill.
Bill Chappell: Hey just Tarang, going back to the Project Superwoman, I mean, you know, as well as anybody of the pros and cons of kind of a celebrity endorsement and kind of a celebrity brand, and just trying to understand, the thought process, because it’s obviously different marketing, advertising, everything that comes with that type of brand versus where e.l.f. has been, but also maybe it financially does it mean that you’re going to have to take up marketing, advertising beyond the 12% to 14% to really launch a brand new brand and make a big splash? Or do you look to it being like e.l.f. was kind of slowly but surely building out a presence over a number of years?
Tarang Amin: Yes. So first of all, Bill, I think one of the things that really attracted us to Alicia Keys is, she’s more than a celebrity. She has real substance and someone we can see building a brand with long-term for many years. And our approach is more consistent with e.l.f. than maybe some of the other models that you’re familiar with – of those who do celebrity brands. This is really a lifestyle beauty brand for the long-term. And so the approach that we take, which is digital first very much remains intact. Our approach is, we’re able to then announce which retailers will be entering at a later date. I think you’ll see a great deal of interest in doing things the e.l.f. way and building this brand for the long-term. In terms of the specific levels of marketing support. We haven’t talked about that yet relative to we haven’t given the overall size of the new lifestyle brand in our approach there. What I would tell you is it is not necessarily the big bang approach once where we’re trying to get as much sales and then you move on to the next thing. This is something we definitely want to build and nurture for the long-term. And so I think, I’ve talked previously about, this is not one where we’re just planning to spend tens of millions of dollars and then forget about the brand. This is something we definitely want to build. And the launch plans very much reflect that in terms of leading with content nurturing online and then taking selective retailer relationships to help further amplify and magnify the brand all with and hand in hand with Alicia Keys, who has an incredible and loyal following.
Bill Chappell: Got it. And then just in terms of follow-up on cadence, I mean, is this a typical, you need to have the brand, the placement, all that done by calendar year in, so you’re ready for shelf planogram resets in the spring, or it will drag out – it will, it will it phase out a little bit longer than that?
Tarang Amin: Yes. We haven’t we haven’t given the specific timing, but what I would say is, we’ll lead online and then you’ll see retail penetration a bit later. We would probably be in a better position to talk some of those specific plans on our next call.
Bill Chappell: Got it. And then just one last one there. Do you see having more brands, you said, now ub multi-brand and W3LL PEOPLE often and this is that enough? Or do you see, are there other areas you could go down the road?
Tarang Amin: We definitely see other places we can go. I mean, the overall strategy or the strategic framework is taking the capabilities we have in team and our infrastructure and applying them to other fast-growing emerging brands. I would say we have our hands full for the time being particularly with the tremendous white space, we have in e.l.f. our plans for W3LL PEOPLE, including the sneak peek we gave on the brand recharge and what we can do on that brand. And then obviously their excitement on the lifestyle beauty brand with Alicia Keys. But we are open to other tuck-in acquisitions, as well as brands we create. We don’t have any immediate plans for that, given our focus on these three brands, but it is something that you could see in the future as part of overall strategic framework and leveraging the team and capabilities that we’ve built.
Bill Chappell: Perfect. Thanks so much for the color.
Operator: Our next question will come from Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Good afternoon, everybody, and thank you for the questions. Just two quick ones for me. Tarang, you mentioned that phase three of Project Unicorn was largely, I think, complete this spring. Can you talk about, are there additional efforts wrapped in Unicorn that we should expect to see during coming quarters? Or do you kind of view it now as mission accomplished with respect to that effort and refocus on other areas going forward?
Tarang Amin: Hi, John, I don’t think you’re ever going to hear me stop talking about Project Unicorn as it has multiple phases. And if you really look at the objectives of Project Unicorn, they really were to elevate our presentation at shelf in retail settings and increase our productivity. And I don’t think that work will ever be done. We do like what we’re seeing in each successive phase of the Unicorn. So, the next couple of phases of Unicorn will continue the journey that we had this spring of continuing to be able to elevate our presentation and bring greater visual merchandising to our retailer shelves sets. The first phase three, as I just mentioned, really focused on some of our core hero items, such as poreless putty primer and Camo Concealers, which if you looked at them this year versus last year is so much easier to navigate on the shelves and find the areas that we have real strength. We see additional opportunities continue to elevate that visual merchandising. So in the additional space that we’ll pick up this fall at both Walmart and Ulta Beauty, you’ll continue to see the evolution of Unicorn there. And we’re hoping in future years, particularly next year. So, I look at a calendar year, 2021, and the next version of the step change in terms of what else looks like on shelf. I mean, I think if you, at some point, maybe in one of these webcasts we’ll show pictures of what we look like through the successive phases of Unicorn, and it’s quite clear in terms of the elevation of the brand and how much easier it is for consumers to navigate, which in turn has led to much greater productivity and we still see further room to grow.
Jon Andersen: Excellent. You mentioned briefly in your prepared comments that the new liquid fill facility had been delayed due to COVID. Do you have an update on when you think that facility will be production ready and are there any capacity constraints that you need to deal with in the near-term, given the delays there?
Tarang Amin: Yes, so our liquid fill facility in Southern California unfortunately has been a victim of the shutdowns related to COVID-19. So, we’ve not been able to do the engineering and installation work necessary. We’re still under lockdown for that particular facility. So, I do not have an update on the timing of that facility. I would say, it’d be later this year, hopefully. I think we’re all hoping for resolution to COVID-19 and returning to normalcy, but I think that will be subject somewhat to our path on when are we back to normal from that standpoint. In terms of capacity, I’d say, actually one other thing on the liquid fill facility, the objectives of that facility are still very much intact, which is gives us further supply diversification and also significantly reduces lead times, which we’re interested in, particularly as we think of the robustness of our innovation program. So, when we are able to open it up where I think we’ll have – we have high hopes on being able to achieve those objectives. Meanwhile, I am so proud of our team, our operations team, particularly our team in China. We were one of the first beauty companies to be fully operational after COVID restrictions were lifted. I think, we were at full capacity within five weeks. We’ve not seen any meaningful supply disruptions during this volatile time. And our team continues to deliver lean manufacturing, savings, and ideas for the future. And then from a capacity standpoint, we have plenty of capacity to meet our needs. And a lot of that will be really incumbent on our planning as we continue to see a lot of volatility in the business, but we feel great about our overall, the strength of our supply chain and that combination of cost, quality and speed we’re able to deliver. And I think, really being put to the test drive the COVID-19 pandemic and really coming through that so far with flying colors.
Jon Andersen: Great. I actually, if I could squeeze one more in, so you’ve gone pretty quickly from one brand, e.l.f. prestige like a line at value price points, to now having W3LL PEOPLE, clean beauty brand, EWG VERIFIED, real rich credentials there to now adding a lifestyle – a life style beauty brand. So, going from, I guess, one to kind of three brands increases some of the complexity of managing the business, how you allocate resources to innovation marketing, and then more operational aspects like production planning, inventory management, are there changes that you have need – you have made or need to make internally from an organizational standpoint, a people standpoint in order to effectively steward, these three brands as opposed to the single brand focus you’ve had in the past.
Tarang Amin: Sure, Jon. I’ll tell you two things there. First and foremost, we’ve out of our 250 employees, I think we’ve had selected almost 240 of them now. And so we tend to pick from blue chip CP consumer and beauty environments. So much of the team comes with multi-brand experience. Everyone on the executive team is, has managed multiple brands at the same time often in categories that involve many more brands. So, I think the capabilities, we have are really good from a ability to manage a portfolio of brands. And then the second thing is you heard Mandy talk about our SGNA levels. And some of that SG&A really went into a vision of building this multi-brand house. So, we have added resources in marketing, digital innovation, other areas of the company that give us greater confidence to be able to manage a portfolio of brands with some mix of people who can manage multiple brands. If I think of a lot of the back-office functions, that it doesn’t matter that you have one brand or three brands that you can spread against as well as dedicated resource by these each of these brands as well. And so I feel good having lived for almost 30 years with a multi-brand environment, our ability to do that, but certainly that’s also one of the reasons why we really want to make sure we execute these three with excellence before moving on to additional brands.
Jon Andersen: Thanks so much. And congratulations on a strong quarter.
Tarang Amin: Thank you.
Operator: Our next question will come from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good afternoon. Thanks for taking my question. So just going back to the commentary, just about some of the volatility around the spikes in infections that you’ve seen more recently, any more color you can provide in terms of the impact, whether you see it across all channels categories, more retail and more e-commerce, or just some thoughts there.
Mandy Fields: Yes. Hi, Rupesh. So, I would say that with the surgeon COVID cases and the uncertainty around another phase of stimulus, we have started to see a softening in the track channel. I would say, the data that was released just on Tuesday, we were in the 3% range on a, like a weekly basis. So, I think there’s still a lot of volatility to be seen out there until there’s more of a normal environment. We still have COVID and then we still have uncertainty in the broader economy. And so I think we’re going to have to just take it week by week here as we look forward.
Rupesh Parikh: Great. And then I’ll sneak in one more question. So, I guess just on the promotional environment, I’m curious what you’re seeing right now. And then as you look at some of your retail customers, do you see the need maybe, to support them more later in the year just given the difficult makeup background?
Mandy Fields: Yes. So, I’ll start first with our e-commerce. I mentioned on the call that we were actually able to be less promotional on our e-commerce, which gave us an even more of a gross margin benefit, because of all of the natural traffic that we were seeing into the channel. So that was a benefit to us. I would say from a retailer standpoint, we’re not promotional. So, we don’t really play that game. And so we know – we don’t feel any pressure to be any more promotional in that channel.
Tarang Amin: And a lot of that goes down with this model, yes, which is extraordinary value every day and that’s served as well. And that’s really, our mission is continuing to provide prestige qualities, extraordinary values and not be a high role player or promotionally driven player.
Rupesh Parikh: Yes. Okay, great. Thank you.
Mandy Fields: Thank you.
Operator: Our next question will come from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Thanks and good afternoon everyone. I wanted to ask about some of the shelf space gains that you’ve lined up for Ulta and Walmart for the fall, maybe just directional kind of size of incrementality there and related to that, what is general receptivity from retail regarding shelf space gains beyond those two retailers given that Ulta had sustained share gains now for quite some time and obviously underperformance or most of the larger brands where a lot of them just seem to not be able to get out of their own way. So does that create more opportunity for yield in time and, any sort of broader strokes about how to think about that? I think would be helpful.
Tarang Amin: Yes. So Mark, both Walmart and Ulta Beauty do not want us to give specifics on our ship space gain. So you’ll, have to wait until those get set in the fall to get a better sense of those. And hopefully we can talk in November, we’ve already set. It’s a subset of both retailers store counts and picking up space, and you’ll be able to see that shirt soon enough. I would say on the receptivity of greater space, shelf space gains beyond those customers, we’re having conversations with almost all of our retail customers on increasing space and on e.l.f., I think the most established customer of Target has an average footprint that’s at least twice as big as any other customers. There’s plenty of room for people to increase space on e.l.f. particularly given our trends and what we have from an innovation standpoint. Again, I don’t have visibility on what 2021 looks like yet in that regard and will probably not be able to provide that until a bit later in the year once we have some confirmations.
Mark Astrachan: Okay. That’s helpful. Maybe sort of a related question that starts less related to it will come back related. So it’s just thoughts in general, on makeup category performance remaining weak, obviously you had touched a bit on some of the uncertainty, but, maybe talk about how and under what circumstances that potentially begins to improve, or is it simple as COVID has to go away before beauty in particular improve skincare obviously is performing better. And then, back to the previous question on shelf space then is that generally how retailers are kind of thinking about allocations that would be incremental going forward or are they still opportunistic on a brand level basis where we’re applicable?
Tarang Amin: Sure. So, I’d say the factor is on the makeup category. I think first and foremost, as you outlined is a return to normalcy post COVID-19. I think that’s going to be one of the biggest drivers. We’ve seen the behavior, even in the volatility we’ve seen in our own data, which is in April our track channel businesses, way down given the restrictions that were in place and the fears on COVID-19 and going to retail settings. So, I do think some resumption of normalcy will be one of the key catalysts of seeing better trends and makeup. I think the other thing is, I’m really hopeful that some of the larger legacy players, as they’re able to return to launching more products, being able to do more within the category can be good for the category overall. So, I have long believed that having some of the larger players also do better from an innovation and consumer engagement standpoint is good for the overall category. We’re confident of our ability to continue to gain share, no matter what the environment is, whether the category is declining or increasing. And so I would say that would be the second main piece. And then, the third, which relates to both of those is, I do – if I look at longer term trends, this is a core category for consumers. And so what you’ll see is a shift within the category on those segments that are speaking most to consumers. So, whether it be the blurring of the lines between skincare and makeup. We’ve seen really good results on the wellness products, whether it be Cannabis Sativa, CBD collection, Supers, a number of those or our core makeup line. One of the reasons why I believe, we’re gaining share is our focus on complexion. Poreless putty primer is the only product you need to have, whether you were wearing makeup or not to look great, and feel great. Concealers have a similar outlook as well as many of our other core products. So, I think you will see, continue to see regardless of where the overall market is, some shifts within the category as well, in terms of those categories or subcategories they are speaking more to consumers.
Mark Astrachan: Got it. That’s helpful. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tarang Amin for any closing remarks. Please go ahead.
Tarang Amin: Well, thank you everyone for joining us today. I’m so grateful to my talented teammates for meeting the challenges of this pandemic and building market share. I’m energized by the potential here we have with W3LL PEOPLE. And I look forward to sharing more about our new lifestyle beauty brand with Alicia Keys. I fundamentally believe our future is bright. Of course, we’ll continue to be challenged by the environment around us and copying some big months ahead, but I have confidence in our strategy and our team. We look forward to speaking with many of you again at our annual stockholders meeting on August 27. Thank you, and be well,
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.